Operator: Good morning, and welcome to United Community Banks' Third Quarter Conference Call. Hosting the call today are President and Chief Executive Officer, Jimmy Tallent; Chief Operating Officer, Lynn Harton; Chief Financial Officer, Rex Schuette; and Chief Risk Officer, David Shearrow. United's presentation today includes references to core pretax, pre-credit earnings and other non-GAAP financial information. For each of these non-GAAP financial measures, United has provided reconciliation to GAAP in the Financial Highlights section of the news release and at the end of the investor presentation. Both are included on the website at ucbi.com. Copies of today's earnings release and investor presentation for the third quarter were filed this morning on Form 8-K with the SEC, and a replay of this call will be available on the company's Investor Relations page at ucbi.com. Please be aware that, during this call, forward-looking statements may be made by United Community Banks. Any forward-looking statements should be considered in light of risks and uncertainties described on Page 4 of the company's Form 10-K and other information provided by the company in its filings with the SEC and included on its website. At this time, we will begin the conference call with Jimmy Tallent.
Jimmy C. Tallent: Good morning, everyone, and thank you for joining our third quarter conference call. I'm very pleased with our third quarter results which showed solid business growth and expanding net interest margin and a significant step forward of our goal of achieving a 1% return on assets. As you know, over the past several years, we worked very diligently to recalibrate expenses to improve operating efficiency. We made tremendous progress eliminating some functions and streamlining others. At the same time, we made strategic investments in new lending talent and new business lines, such as specialized lending, that are driving revenue growth. The results of these initiatives became apparent in the third quarter, with improvement in nearly every financial measure. I'll talk more in a moment about the drivers of our third quarter results, but let me begin with some highlights. We earned net income of $17.6 million or $0.29 per share. This is up $0.02 or 7% from the second quarter, and up a solid 38% from a year ago. Our return on assets increased to 95 basis points, a nice increase over the second quarter, and our return on common equity was 9.4%. Total revenue was $69.4 million, up $2.5 million from the second quarter. After stabilizing our net interest margin in the second quarter, we saw a meaningful 11 basis point expansion in the third quarter to 3.32%. Our efficiency ratio improved to 57.9% for the quarter. We increased loans by $159 million or 14% annualized. I'll have more to say on this in just a moment. We increased core transaction deposits by $90 million or 10% annualized. Compared to a year ago, we're up nearly $300 million or 9%. Our provision for credit losses was $2 million, net charge-offs were $3.2 million and the allowance ratio was 1.57%. Nonperforming assets declined to $22 million or 29 basis points of assets. Our capital ratios continued to strengthen and our board last week increased our quarterly dividend from $0.03 to $0.05 per share, payable in January. Now I'll share some highlights and our outlook for the rest of the year. As you can see on Page 7 of the investor presentation, core pretax, pre-credit earnings were $30.3 million, up $1.5 million from the second quarter and up $1.4 million from a year ago. The increase from the second quarter was due to higher net interest revenue and fee revenue, which were partially offset by higher expenses. We were able to increase our net interest margin by 11 basis points over the second quarter to 3.32%. This was mostly due to our balance sheet restructuring and hedging actions, late in the second quarter, to strengthen the margin and increase net interest revenue. As a result of these actions, our investment securities portfolio yield increased 13 basis points from the second quarter, and the average rate paid on interest-bearing liabilities decreased by 4 basis points. In addition to benefiting from the second quarter balance sheet restructuring, we were able to stop the decline in our loan yield. In fact, we increased the yield by 1 basis point in the third quarter. Improvement in balance sheet composition also contributed to the higher-margin, as the average balance of investment securities decreased $95 million, while the average balance of loans increased $70 million. Although the timing and extent of future rate increases remains unknown, our balance sheet is well-positioned from an interest rate risk perspective. At quarter end, we remained asset sensitive with a 200 basis point ramp up in interest rates over the next year, expected to improve net interest revenue by 2.1%. We still hold a large balance of floating rate securities in our investment portfolio. 31% of the portfolio, in fact, at the end of the third quarter. In this rate environment, we expect our margin to continue at the 3.3% range for the remainder of 2014 and into 2015. Our third quarter loan growth was a big contributor to our linked quarter growth in net interest revenue. In my view, this is one of the most notable highlights of the quarter. We grew loans by $159 million or 14% annualized. Our new loan production was $453 million in the third quarter, as shown on Page 14. Production was strong in nearly every category and market. Over the past 3 quarters, our C&I and CRE production have continued to ramp-up as a result of growth in our specialized lending businesses. Our investments in these areas are beginning to pay dividends with their added loan production. Our healthcare lending business in Nashville did well in the third quarter with $60 million in growth. Our SBA lending group increased loans by $31 million over the second quarter and its pipeline of lending opportunities is strong entering the fourth quarter. Our veterinary and commercial real estate verticals both have solid loan production. In the third quarter, we sold a portion of SBA loans for a gain of $945,000. This was included in other fee revenue. The total was up from $744,000 in the second quarter. Sales of the guaranteed portion of SBA loans are part of our SBA business strategy. Therefore, we expect these sales and gains to continue to grow from this level going forward in 2015. In total, we generated $264 million in commercial loan production and increased outstanding balances by $124 million during the third quarter. On the residential construction side. We saw a nice increase in production over the second quarter with a small increase in loan balances. We saw a healthy increase in production in residential mortgage and home equity lines of credit with both up solidly from the second quarter. Loan balances were up as well in these categories, 2% and 7% annualized, respectively. We also increased our indirect auto portfolio by $27 million. Challenges in the lending area continue, whether it's pricing, competition or the weak economy. Our third quarter loan production came together as a result of the investments we made in new business lines and very talented people to drive the execution. Some of the production that closed in the third quarter have been approved some weeks or months earlier. The bottom line is, all of our lenders and back-office support staff across our entire footprint executed flawlessly. They are the true difference makers. You'll find the trends on core fee revenue on Page 7. Third quarter core fee revenue was $14.4 million, up $481,000 from the second quarter. Mortgage fees were up $301,000 from the second quarter. We closed $84 million in mortgage loans in the third quarter, up from $69 million in the second quarter and $77 million a year ago. New-home purchases accounted for about 53% of the third quarter mortgage production compared with 68% last quarter and 59% a year ago. At $53 million, new home purchases accounted for a smaller portion of the total volume compared with second quarter. However, the volume of new home mortgages was the highest we've seen in several years. We continue to focus on growing our mortgage business by adding experienced lenders who have strong ties to the communities they serve. As I noted earlier, our SBA lending business produced $945,000 in gains from loan sales in the third quarter, up from $744,000 in the second quarter. We continue to focus on growing fee revenue sources and expect to make further progress in this area. Our core operating expenses are presented on Page 8. Core operating expenses were up $966,000 from the second quarter. Most of the increase was in compensation expense, which was up $1.7 million from the second quarter. The increase in compensation expense reflects our investments in new revenue producing talent, as well as higher incentives. About 1/3 of the linked quarter increase in compensation expense is in salaries, reflecting the addition of specialized lending talent and other strategic hires. The other 2/3s of the increase is due to higher incentives and commissions that are directly related to the increases in loan production, core deposits and mortgage fees as well as overall growth in earnings. The decrease in our FDIC assessment is the result of a lower assessment rate resulting from improved credit measures that factor into the rate calculation. Advertising and public relations expense is down $245,000 from the second quarter. The elevated second quarter expense included the cost of new product initiatives, a refresh of our branded marketing materials and our annual customer appreciation day. The $585,000 decrease in other expense category resulted from nonrecurring items in the second quarter. Our effective tax rate for the third quarter was 36%, which is down from 37% for the first and second quarters. The decrease reflects the release of a previously established reserve related to a tax return that is no longer subject to audit. We expect the effective tax rate for the fourth quarter to return to the level of the first and second quarters. Now I want to make a couple of closing remarks and then we'll open it up for questions. We had a very good third quarter by every financial measure and our outlook for the fourth quarter is also very encouraging. We expect loan growth to continue in the mid- to upper-single digit range. We believe our margin will continue in the 3.3% range. The combination of solid loan growth and a stable margin will lift the net interest revenue. We see a modest increase in fee revenue, much of it coming from our growing SBA lending business as well as growth and seasonal patterns and other fee revenue sources. And, although we expect some increase in expenses, we believe the rate of increase will be less than our revenue growth rate and well below the third quarter expense growth rate. Our strategies are working and we're on track to achieve our goals. This is a tribute to the exceptional bankers with whom I'm fortunate to be associated throughout this organization. Now Lynn, Rex, David and I will be pleased to answer any questions.
Operator: [Operator Instructions] And our first question comes from Brad Milsaps with Sandler O'Neill.
Brad J. Milsaps - Sandler O'Neill + Partners, L.P., Research Division: Hey, Jimmy or Rex, I was going to see if you just maybe comment a little bit more on the nice loan growth you had during the quarter. Looks like a fair amount came from South Carolina. I think you mentioned healthcare, but just kind of curious, any additional color there on kind of what you saw as the major drivers. Were there any sort of larger loans in there that might have skewed it a bit more? Just any additional color there will be greatly appreciated.
Jimmy C. Tallent: Brad, let me just ask Lynn to address that.
Lynn Harton: So, yes, there really was very broad-based growth there. What you see is designated as South Carolina and corporate. The local bank in Greenville was up $9 million. Our corporate banking unit there, which is focused on middle-market clients in the Southeast, was up $4 million. Income property, which we do construction and stabilization of either Class A apartments or credit tenant related office or retail that was up $27 million. And they continue to benefit from a pretty good pipeline of commitments that are still in the funding stage. ABO, which is a new business for us, that's included in that group, was up $1 million, and again, it's very new business. Healthcare, as Jimmy mentioned earlier, was $60 million. That's the only place where you have relatively larger commitments. Probably those tend to be average about $15 million. But what we're seeing there is the new team that we've expanded in the last year has -- is really starting to gain some traction. And then SBA was benefiting from about -- we had about $10 million in production from our new national group. And then they also benefited from some funding of previous made commitments, which is probably only unusual piece of it. So again, it's a very stable, very balanced broad-based growth coming out of that group.
Brad J. Milsaps - Sandler O'Neill + Partners, L.P., Research Division: Okay, great. And then just to follow-up on the margin. I appreciate your guidance there. Rex, I was just curious, how much sort of mix change weighting on that guidance? In other words, it looked like, on average, the bond portfolio was down linked quarter point-to-point, maybe up a bit. Just kind of curious on what your thoughts there on bringing that down further as you kind of balance the mix versus maybe some pressure on loan pricing, et cetera?
Rex S. Schuette: Very good, Brad, I'll be glad to respond to that. A couple of things are happening. As we talked last quarter, we did have a restructuring, which was a combination of things of selling of some lower rate securities, and that's why you see some of the security portfolio coming down, and we added a smaller portion to that. And that part really gets balanced a little bit with our overall core deposit growth. So we had very good core deposit growth in the quarter of $90 million, which helped funded the loan growth of $159 million. And we're able to really keep our mix down on securities, which was planned as part of that restructuring. So it is a shift in mix when you look at it helping the margin. When you look at roughly about $96 million down on average loans and up about $70 million on securities, I mean, and up about $70 million on average on loans, that part there probably contributed about 5 basis points of our margin improvement. We also had, again, the benefit of our funding mix where we, again, paid down some repos as well as our line of credit during the quarter. And that contributed about 3 basis points. Our average balance sheet was down because of, again, pulling securities down, that was another 2 basis points. And then another basis points roughly on our CD funding mix coming in little bit lower with repricing. We think that will continue. Most of these items are run rate items, one items, and they come back out again the next quarter. So this really adjusted our base run rate into the 3 30 range which we think will continue in Q4.
Operator: Our next question comes from Jennifer Demba of SunTrust Robinson Humphrey.
Jennifer H. Demba - SunTrust Robinson Humphrey, Inc., Research Division: Jimmy, when you look at this SBA business, can you give us some thoughts about how big a business you could see it becoming over the next couple of years? And what's your comfort level in terms of sort of percentage of your earnings base coming from this business line?
Jimmy C. Tallent: Sure, Jennifer. Obviously, we are very pleased, very excited about the SBA business. But I think Lynn, let me just ask him to give you a little bit more of that granularity that you're looking for.
Lynn Harton: Sure, thanks Jimmy and Jennifer. So we are building the business. So it's new. We are very pleased with where we are and we're probably ahead of where we thought we'd be in terms of both our sales and servicing infrastructure. We have previously disclosed a new production target for the fourth quarter of $30 million. We are highly confident that we'll hit that. We're highly confident that we'll grow that as we go into 2015. We've said we would like to be in the top 10 by 2016, which would equate to roughly $150 million in annual production by '16. So that's kind of the scope and scale of what we're shooting for in production. Now relative to gains, our goal is to make it more of a balanced business that provides both loan growth, as well as gains. And so we continue to believe, our strategy long-term is to sell about half of our production, retain the balance, if that helps us build a more balanced and consistent business and also lets us be more aggressive in some of the products that SBA offers that really don't lend themselves to being sold, such as CAP Lines and 504 lines and even some fixed-rate exposure. So that's kind of our general targets over the next 2 years.
Operator: Our next question comes from Kevin Fitzsimmons of Sandler O'Neill Group.
Kevin Fitzsimmons - Sandler O'Neill + Partners, L.P., Research Division: Jimmy, can you talk about M&A? Generally, are you more excited about it today, less excited about it? And the reason I'm asking that is, I know in past quarters it seemed like you were ramping up the talk in terms of the anticipated opportunity. But we seem to have more players getting involved in it. We had an Alabama bank step into Metro Atlanta, just a few days ago. So it's a more competitive environment for that. So just want to get your sense on the opportunities you think are out there and by market where you're more excited, where you're less excited.
Jimmy C. Tallent: Sure, sure. Thank you for the question, Kevin. As far as our view and my view on the M&A, it's still, I believe, will play a role in our future growth. The strategies that we have talked about in the past would be an acquisition possibility, would be within our 4 state footprint where we operate. We would be biased toward the metro markets within those states. Size-wise, probably between $300 million and $1 billion in assets is kind of our view of the appropriate size. This could be in new markets that we have strategically identified within those 4 states. Could be fill-ins, could be markets where we believe we just need greater bulk. But really, our view on the M&A has not changed. Certainly, we're focused every day of operating our company on an organic basis. As M&A opportunities come about, we're absolutely interested. But they've got to be strategic. They've got to be financially beneficial and what we believe to be a low risk transaction. We would be looking for immediate EPS accretion. We would be looking for any tangible book dilution to earn that back in that 3-year time horizon. But we made a lot of investments, Kevin, over the last couple of years, in particular, to really grow our business. And on any acquisition we'd be very methodical because it's just got to hit all of those particular triggers.
Kevin Fitzsimmons - Sandler O'Neill + Partners, L.P., Research Division: Jimmy, just let me just follow-up that last point you made about making investments. You've been out of the M&A game for a while now and we've had -- some banks have hiccups when they go through the regulatory process. Can you just talk about your confidence in terms of compliance and BSA infrastructure that everything's ready to go if you stepped in tomorrow with a deal?
Jimmy C. Tallent: Sure, I'll be glad to give you some thoughts there. We've just completed our annual Safety and Soundness Examination. Very, very pleased with the results there. Really in the last 60, 75 days, we have completed our compliance, BSA, money laundering, all of the -- those particular examinations, and I'm extremely pleased with the outcome of those items. So I believe from a regulatory standpoint, that I don't see any obstacles in our way of doing a transaction. So long as it's a transaction that we truly can add value and earnings growth to the company.
Operator: Our next question comes from Taylor Broderick of Guggenheim Securities.
Taylor Brodarick - Guggenheim Securities, LLC, Research Division: Lynn, if you don't mind, one more SBA question. Thanks for the color about how much you're going to hold and balance sheet, how much you're going to sell. What advantages, I guess, for the SBA lending team are there from being part of the bank now? Sort of what's the competitive landscape in the Carolinas for [indiscernible]?
Lynn Harton: Yes. So you're breaking up a little bit, but if I understood the question, is the advantages of being in the bank and, yes. So what we're doing? We're really operating in 2 lines of business. So we've got the national business that is focused on specific verticals, franchising, dental, veterinary, et cetera. And then we've got a dedicated footprint, SBA group, that's really partnering with the banks to both identify and close opportunities and really led by the core Business Carolina group that we acquired in late June. And, right now, what we're seeing is great pipelines out of both of those groups. So we think it's a great strategy for partnering with our banks and it's a great strategy on the national piece as long as you stay in those dedicated verticals.
Taylor Brodarick - Guggenheim Securities, LLC, Research Division: And Rex, for the improvement of the commercial loan yield, did I miss any other detail you provided, I guess, also sort of the mix shift between floating rate and fixed rate product that you're putting on?
Rex S. Schuette: Sure, again, you're breaking up for some reason, but I think I understand the question. Just talking about the commercial loan yield and in context of fixed-floating and what we're looking out there. As you noted and I think Jimmy commented, we're up 1 basis point yield, which has been a while since we've seen yield accretion in the loan portfolio. Our new and renewed this quarter, again, we had very strong quarter of loan growth, but the new and renewed is the same as last quarter, a little over 4%. That's benefiting the margin, obviously. And again, within that, we have roughly about 43% is floating. So just under $2 billion of our loans are floating, and 57 -- and again, about 60%, 57% fixed. That number has swung over the past 2 quarters, improving on the floating-fixed basis. So we've been improving, getting more floating-rate loans overall, over the past 3 quarters. And again, within there, we have very few floors, within the floating rate portfolio there's only 16% of those that have floors. And again most of those come off within 200 basis points. So it really doesn't have a significant impact with respect to rate forecast as we look at in interest rate sensitivity.
Taylor Brodarick - Guggenheim Securities, LLC, Research Division: And Jimmy, would you just mind refreshing me, is kind of look at the performance of the company, and where you're trading at tangible book? Has the board put in place an authorization for share buybacks and can -- maybe just your thoughts on that?
Jimmy C. Tallent: Sure. Really, when we talk about share buyback, in my view, it's certainly much broader than that. And I think we have to think of it more of in the context of capital management, which several factors fall within that category. First, we're very fortunate to be growing capital at very nice pace. Growing a regulatory capital even at a faster pace, given the DTA recapture. As you know, we, the board, reinstituted the cash dividend payment in second quarter. We announced just a few days ago where the board had improved -- or had increased that from $0.03 to $0.05 per share. And really, the historical payout of the company has usually been somewhere in that 18% to 20% of earnings. So that's kind of the thinking behind that. But now, the other considerations that we factor in is, first, the amount of capital that we'll need to support just our organic growth. Certainly, the capital to support acquisitions and the possibilities of those. Stock buyback, at some point given all the parameters around that, maybe an appropriate. So really, it's a broader context within the capital management, and we look at all those components.
Taylor Brodarick - Guggenheim Securities, LLC, Research Division: I guess one more question. I guess, congrats to David Shearrow for the retirement. I was kind of curious, as you've looked to -- it looks like split his role into 2 different positions. Is that advice from regulators? Or is it just reduced bandwidth to be able to do both jobs?
Jimmy C. Tallent: Well, really, it's the latter. Certainly, David has just done a phenomenal job at both of these areas. He and I have talked about it over the past year or so about the possibilities of maybe splitting that into a more enterprise risk role, and then the credit role somewhat independent. But since he has decided to retire, and we've not been able to change his mind, we think, probably, the timing is appropriate to look at that division. Again, you don't find many David Shearrow's out there that can do both of those, but given the size of the company, given the regulatory environment, the focus now on risk, enterprise-wide, and then the credit arena within itself just seems to be the appropriate thing to do.
Operator: Our next question comes from Nancy Bush of NAB Research LLC.
Nancy A. Bush - NAB Research, LLC, Research Division: Jimmy, I have a question for you. As you know, we're in the midst of a particularly nasty political season here in Georgia. And the Georgia economy is being painted in a pretty tough light. I just wanted to get your views on that and whether you're seeing good growth in the state or is it choppy and which markets might be better?
Jimmy C. Tallent: Sure. Well, Nancy, in the middle of a political season, we hear all types of good and bad. I know the numbers that's been posted about the unemployment having increased and that maybe come down a little bit and still one of the highest in the country. That's one factor. But the other factor is, I believe, Georgia has added 55,000 new jobs. So from my personal view, I see Georgia continuing to improve economically. We continue to have probably 23 Fortune 500 companies headquartered in and around the Atlanta market. All 500 are represented in those markets. So I think we'll see Georgia continue to heal and improve. Certainly, people moving into Georgia is still at a pretty strong pace. And I think that -- now the diversification of our industry base is important. But without question, Georgia was hit very, very hard with the recession so much of that was built around the presidential real estate component. But I feel pretty good about where our economy is and I think it will only improve from this point forward.
Nancy A. Bush - NAB Research, LLC, Research Division: And secondly, if I could just ask about duration on the securities portfolio. I mean, always when I hear balance sheet, restructuring, I get a little nervous. So if you could just tell us where your duration has moved over the past 2 -- couple of quarters?
Rex S. Schuette: Sure. Nancy, be glad to. Our duration increased very slightly from last quarter's at 3.65 years right now, up from 3.6. And really from the beginning of the year, it's at about the same level. As we've indicated in past calls, I think we have a little bit of a unique portfolio, in that, we have little -- almost 1/3 of the portfolio is floating-rate securities that are in balance in there because of our excess liquidity with core deposit growth. So we feel very comfortable where we're managing it. Again, we don't stretch out; take risk. And, again, with some of the restructuring it really was coming back into some lower duration securities at the same time.
Operator: [Operator Instructions] Our next question comes from Matt Olney of Stephens Incorporated.
Matt Olney - Stephens Inc., Research Division: Going back to the capital discussion. I'm just curious your opinion about what kind of capital levels you're targeting longer-term at the bank?
Jimmy C. Tallent: Rex, you want to address.
Rex S. Schuette: I'd be glad to. I think some of the requirements coming out now under Basel III and looking longer-term, I think our overall position is very strong. Where we're at on a Tier 1 common ratio, as we have in our deck there, you can see where we're at, at 11%. So I think, and our total risk-based capital is another component. So the differential in there, obviously, is the allowance category and regulatory as well as our trust preferred securities that make up that difference. So we spend a great deal of time, as Jimmy noted, in our strategic planning, looking at our overall capital ratios. I think we continue to build a significant amount of excess regulatory capital each quarter. We have $190 million of NOL, DTA, sitting there at quarter end that will come in over the next 3 years, basically. So we're building a lot of capital at the same time. I think our target levels are at these levels here and t will continue to build and give us ample room for growth as well as M&A activity also. So I think we're in a very good position, overall, in our capital structure, Matt.
Jimmy C. Tallent: I think also, just a comment there to Rex, just to remind everyone, the amount of capital that we utilize back -- less than 9 months ago, almost $200 million to payout some expensive preferred. So we've been utilizing that and certainly have been able to grow that back to a nice level.
Matt Olney - Stephens Inc., Research Division: That's helpful. And then, as far as going back to the SBA question, you may have mentioned this, I missed it. Remind me what the average yields are within that SBA product?
Jimmy C. Tallent: They're typically floating and typically in the prime plus 1.5 to 2 range.
Operator: Our next question comes from Michael Rose of Raymond James.
Michael Rose - Raymond James & Associates, Inc., Research Division: Just try to get a sense for, I know you guys are getting close to the 1% ROI, but as we move beyond that target, have you guys thought internally and are you ready to share any kind of intermediate to longer-term goals either on the profitability front or the efficiency front that could guide us to where you think you're going, assuming rates stay where they are?
Jimmy C. Tallent: Michael, we think about it every day, but we're probably are not ready to just disclose that. Certainly, the 1% is where our focus has been now for about 1.5 years. That's just step one of other steps to take in play. And I would, once again, with our strategies over the last several quarters, as we have reduced the operating expense, but reinvested a great deal of that back into the revenue generation, and I really believe we're more on the front-end of that. Certainly, as the economy improves, that's going to be a very positive. I believe when we see rates move up, will be another positive for earnings power. So but, yes, we think about it every day and I'm sure once we hit the 1%, then we'll put a stake in the ground what our next step will be.
Operator: And our next question comes from Jefferson Harralson of KBW.
Jefferson Harralson - Keefe, Bruyette, & Woods, Inc., Research Division: I had one quick one and a follow-up. The quick one is that, I think I just missed it, but what was your SBA origination this quarter?
Lynn Harton: This quarter, our new originations were approximately $10 million.
Jefferson Harralson - Keefe, Bruyette, & Woods, Inc., Research Division: Okay. And, this year, you guys have been investing in mortgage, SBA, the accretive and middle-market, national, do you expect a pace of that investment to lessen in 2015? Or is it -- is 2015 another build out year?
Jimmy C. Tallent: No, I would see, Jefferson, those investments continuing to grow into 2015. Certainly, the assembling of these various teams, the traction that some have got, some are even getting as we speak. And so I feel pretty positive and pretty bullish on that going into '15, Lynn?
Lynn Harton: I totally agree. Our next focus really is to take the same strategy into Atlanta. We've added an ABL lender there. We've added an income property lender. We're recruiting heavily for middle-market lenders there. So we think that's our next focus, it'll take a couple, 3 quarters to hit in just like this last round did, but we think this is a great model. And we plan on continuing to do this to supplement the core local banks and then also investing in new people as well.
Operator: And I'm showing no further questions at this time. I'd like to turn the call back over to Jimmy Tallent for closing remarks.
Jimmy C. Tallent: Thank you, operator. Let me just thank everyone for being on the call today and for your questions and certainly for your interest and support. Once again, I want to recognize our team of 1,500 bankers who every single day perform at a very, very high level and the passion and the commitment that they always show for the company. Once again, thank you for being on the call. We hope everyone has a great day, and we look forward to talking with you next quarter.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may all disconnect. Everyone have a good day.